Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to the Paramount Group Third Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. Please note that this conference call is being recorded today October 28, 2021. I'll now turn the call over to Sumit Sharma, Vice President of Business Development and Investor Relations. Please go ahead.
Sumit Sharma: Thank you, operator and good morning, everyone. Before we begin, I would like to point everyone to our third quarter 2021 earnings release and the supplemental permission, which were released yesterday. Both can be found under the heading Financial Information-Quarterly Results in the Investor Relations section of the Paramount Group website at www.pgre.com. Some of our comments will be forward-looking statements within the meaning of the Federal Securities Laws. Forward-looking statements, which are usually identified by the use of the words such as will, expect, should or other similar phrases are subject to numerous risks and uncertainties that could cause actual results to differ materially from what we expect, including, without limitation the negative impact of the coronavirus, COVID-19, on the U.S. regional and global economies and our tenants' financial condition and results of operations. Therefore, you should exercise caution in interpreting and relying on them. We refer you to our SEC filings for a detailed discussion on the risks that could impact our future operating results and financial conditions. During the call, we will discuss our non-GAAP measures, which we believe can be useful in evaluating the company's operating performance. These measures should not be considered in isolation or as a substitute for our financial results prepared in accordance with GAAP. A reconciliation of these measures to the most directly comparable GAAP measure is available in our third quarter 2021 earnings release and our supplemental information. Hosting the call today, we have Mr. Albert Behler, Chairman, Chief Executive Officer and President of the company; Wilbur Paes, Chief Operating Officer, Chief Financial Officer and Treasurer; and Peter Brindley, Executive Vice President and Head of Real Estate. Management will provide some opening remarks and we will open the call to questions. With that, I will turn the call over to Albert.
Albert Behler: Thank you, Sumit and thank you everyone for joining us this morning. We delivered a quarter with strong operating performance, as we continue to experience a steady return to normalcy. In the third quarter of 2021, we reported core FFO of $0.23 per share with same-store cash NOI growing 6% year-over-year. We completed the $860 million refinancing of 1301 Sixth Avenue with a blend of fixed and floating rate debt at 2.95%. The favorable terms of the refinancing highlight the confidence that the debt markets have in the quality of 1301 and the strengths of the operations. We leased 374,000 square feet in the quarter, bringing year-to-date leasing activity to over 800,000 square feet. Our strong results and execution enabled us to once again increase our guidance on pretty much every metric for 2021. Wilbur will cover this in greater detail. This quarter’s leasing was highlighted by the 279,000 square feet at 1301 Sixth Avenue of which 190,000 square feet served to backfill existing vacancy at the property. This resulted in leased occupancy at 1301 increasing by 1,280 basis points from last quarter. The asset is currently 84.3% leased. I'm extremely proud of the team's focused work as we have now effectively backfilled approximately 41% of the Barclays vacancy at 1301 Sixth Avenue due to the leases we recently signed with two very important tenants, Credit Agricole and SVB Leerink. We are now left with 269,500 square feet of available space and we continue to remain laser-focused on the task at hand. Our leasing success this quarter was built on the strong momentum we established the last quarter when we successfully executed leases at 31 West 52nd Street with Bracewell and Centerview Partners backfilling over 60% of that block of space. As a result of all this leasing, we were able to drive up the leased occupancy of our portfolio to above 90%, ahead of our own expectations and especially remarkable when considering the impact of COVID-19 on the market. While Peter will cover our leasing in greater detail, I would like to spend a moment sharing some observations on our markets. Key fundamentals in both of our markets continued to improve gradually and our leasing team remains quite busy in both New York and San Francisco. The pipeline of activity continues to build. Every day, we are seeing more evidence of a flight to quality and that trend endures to our benefit. It is not by chance that we have had the leasing success we have had. It is by design. Tenants in the market today are keenly focused on their real estate as they look to attract, retain and bring their employees back to the office. Many tenants who already executed leases with us this year are seeking additional space as they underestimated the growth in their business and consequently, their space needs. Others who are ready to Ink deals, but have less visibility into the future currently, are hoping to have optionality built in their leases to expand their space at a future date. While market rents have declined about 3% in Midtown and about 8% in San Francisco, landlords with better building are able to hold the line and in select instances push rents. Our results continue to demonstrate the strength and resilience of our portfolio, as we continue to benefit from the high quality of our assets. In New York, the city is coming back to life. Restaurants are full. Broadway is back, and sports and concert venues are selling out. While space utilization in our own portfolio is up, it is still significantly below pre-pandemic levels. The COVID Delta variant caused many of our tenants who plan to return on Labor Day to delay their reentry plan. Many of them are going to have employees face back as the year progresses with a full return in January 2022. While the work-from-home narrative continues to make news, most business leaders, including myself, continue to believe that working in the office will carry the day. In San Francisco, tenants continue to take a slower approach in returning to offices. While our San Francisco leasing activity still favors renewals over new leases, we are seeing some bright spots beginning to shine through, as the market improved modestly during the third quarter and gradually gains momentum. Turning to the transaction market. Overall, deal volumes are still muted compared to 2019 levels, though there has been an uptick in volume quarter-over-quarter. Liquidity is ample and pricing remains unchanged. Data points are still limited, but there are certainly more asset sales being discussed. From what we see, core assets are outperforming value added opportunities, which underscores the inherent value of our portfolio. We remain interested, yet disciplined with our capital and monitor the markets carefully. To conclude, our priority remains the lease up of our availabilities, as well as gradual reintegration of our tenants in a safe and healthy manner. As has been the case for the past year, we continue to maintain sufficient liquidity, which amounts to $1.5 billion at the end of the quarter. With our portfolio of stable trophy assets and our proven ability to allocate capital, we remain well-positioned for the long-term. With that, I will turn the call to Peter.
Peter Brindley: Thanks, Albert and good morning. During the third quarter, we leased approximately 374,000 square feet for a weighted average lease term of 10.2 years, including approximately 279,000 square feet of office space at 1301 Avenue of the Americas, a portion of which served to backfill 41% of the space vacated by Barclays on January 1st. We signed leases with Credit Agricole, a leading global corporate and investment bank who will continue to use the building as the headquarters for its Americas operations and with SVB Leerink, a leading investment bank specializing in healthcare and technology. The long-term commitments made by both Credit Agricole and SVB Leerink reinforced the importance of 1301 Avenue of the Americas central location and superior property attributes. At quarter-end, our portfolio wide occupancy was 90.3% at share, up 230 basis points quarter-over-quarter. As we look ahead, our remaining lease expiration profile is manageable, with approximately 6% expiring per annum at share through 2023. Turning to our markets. In Midtown, third quarter leasing activity of 3.3 million square feet, excluding renewals, was up 59% quarter-over-quarter, but 13% below the five-year quarterly average according to CBRE. Renewal leases, increasingly longer term in length, accounted for 1.9 million square feet during the third quarter. While sublease availability currently comprises 24% of all available space in Midtown, above the five-year average of 21%, tenant touring activity for high quality direct space in the market continues to accelerate, particularly in well located Class A buildings. Our New York portfolio is currently 89.9% leased on a same-store basis at share, up 340 basis points quarter-over-quarter. During the third quarter, we leased approximately 328,000 square feet at a weighted average term of 10.6 years with initial rents averaging approximately $73 per square foot. Our New York portfolio has 0.6% or approximately 35,000 square feet at share rolling in 2021 and 2.5% or approximately 150,000 square feet at share rolling in 2022. Looking further ahead, our overall lease expiration profile in New York is manageable, with 5.3% expiring per annum at share through 2023. While we have made significant progress backfilling approximately 41% of the availability at 1301 Avenue of the Americas, the lease up of the remaining space continues to be our primary focus. We continue to get more than our fair share of activity, which is the direct result of the quality of 1301 and the strength of the Sixth Avenue submarket, which currently boasts the lowest availability rate of any submarket in Midtown. We look forward to updating you on our progress in future quarters. Turning now to San Francisco where office leasing strengthened in the third quarter, as San Francisco's economy fully reopened. While third quarter leasing activity in San Francisco was below the pre-pandemic five-year quarterly average, it was the strongest quarter of leasing activity since the outbreak of COVID-19. Venture capital funding remains healthy as early stage companies in San Francisco received over $3.9 billion in funding, the highest quarter on record. Venture capital backed companies such as Chime, Scale AI and Waymo signed lease expansions during the quarter contributing to the increased leasing velocity. Sublease availability remains elevated, but has declined for the second consecutive quarter, down 2.6% quarter-over-quarter as per JLL. We remain long-term believers in the resiliency of the San Francisco market. At quarter-end, our San Francisco portfolio was 91.4% leased on a same-store basis at share, down 70 basis points quarter-over-quarter. During the third quarter, we leased more than 46,000 square feet at a weighted average term of 4.6 years with initial rents averaging more than $100 per square foot. Our San Francisco portfolio has 0.1% or just 2,500 square feet at share rolling in 2021 and approximately 177,000 square feet at share rolling in 2022. Looking further ahead, our overall lease expiration profile in San Francisco is manageable, with 8.5% expiring per annum at share through 2023. Our San Francisco portfolio is well-positioned to manage through the current environment. With that summary, I will turn the call over to Wilbur, who will discuss the financial results.
Wilbur Paes: Thanks Peter. Yesterday, we reported core FFO of $0.23 per share which was $0.02 ahead of consensus and $0.01 higher than the prior year’s third quarter. Same-store cash NOI growth was a robust 6%. During the quarter, we executed 18 leases covering 374,385 square feet of space, of which our share was 314,673 square feet that was leased at a weighted average initial rent of $74.47 per square foot and a weighted average term of 10.2 years. Of the 314,673 square feet leased in the quarter, 301,568 square feet represented our share of second generation space for which the mark-to-markets were positive 5.8% on a GAAP basis and 0.4% on a cash basis. Our strong year-to-date results and our outlook for the remainder of the year caused us to once again increase guidance for 2021 on several fronts. We now expect core FFO per share to range between $0.90 and $0.92 per share or $0.91 per share at the mid-point, which is $0.03 higher than our prior outlook. This increase was driven by $0.02 per share from better than expected operations and $0.01 from lower interest expense. Same-store cash NOI growth was also revised upwards and is now expected to be between 1% and 2% or 1.5% at the mid-point. We also revised our leasing goal upwards and now expect full year leasing in 2021 to be between 925,000 square feet and 1,025,000 square feet, which is 175,000 square feet higher than the mid-point of our prior estimate. Lastly, we expect to end the year with a same-store leased occupancy rate between 90% and 90.6% or 90.3% at the mid-point which is 130 basis points higher than the mid-point of our previous range. Turning to our balance sheet. We ended the quarter with over $1.5 billion in liquidity comprised of slightly over $500 million of cash and restricted cash and $1 billion of borrowing capacity under our revolving credit facility. In early August, we completed the much talked about refinancing of 1301 Avenue of the Americas. The new five-year interest only $860 million loan has a weighted average interest rate of 2.95% and is comprised of a $500 million fixed rate tranche and a $360 million variable rate tranche. The proceeds from the refinancing were used to repay the existing $850 million loan and closing costs. Our share of outstanding debt at quarter-end amounted to $3.7 billion at a weighted average interest rate of 3.29% and a weighted average maturity of 5.3 years. Finally, we have also updated our investor deck, including our schedule of free rent and signed leases not commenced, which now sit at $33 million and is up significantly from prior quarter as a result of leasing up over 40% of the vacant space at 1301 Avenue of the Americas. Our investor deck can be found on our website at www.pgre.com. With that, operator, please open the lines for questions.
Operator: Thank you. At this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Ronald Kamdem with Morgan Stanley. Please proceed with your question.
Ronald Kamdem: Hey. Congrats on a quarter. Just a couple of quick ones. First is just on leasing. You talked a little bit about sort of the pipeline and maybe compare and contrast it with activity you're seeing in New York versus San Francisco right now would be helpful.
Peter Brindley: Sure, Ron. We feel very good about our pipeline. We're seeing predominantly financial services, I would say, across our portfolio in New York, in San Francisco, it's more heavily weighted technology tenants, but also financial services tenants. We're all familiar with the flight-to-quality phenomenon that's very real, and of course, that endures to our benefit given the quality of our portfolio. But I would say we feel very good about our portfolio. Of course, it's on us to convert on all of this activity that I'm not describing, but it's primarily comprised of financial services and tech companies. Just one last comment, in Midtown specifically, financial services have really been the driver of velocity year-to-date contributing roughly 42% toward total velocity. So that's not uncommon that we would also be seeing financial services as active as they are. So that's a snapshot in terms of what we're seeing currently.
Ronald Kamdem: Great. And then, the second question was just, what was the usage of the office space? I think you provided that last quarter, but how many people are actually in the office buildings in New York versus San Francisco and sort of what feedback do you hear from tenants in terms of sort of what are the one or two things that are slowing that rate rising a little bit faster?
AlbertBehler: It's a very good question, and it's the -- it's a positive development across the board. You can see we -- on a weekly basis that more people are coming back to the office. It's clearly in New York. The percentage is higher than on -- in San Francisco. We are seeing figures in the 30%-plus range in our office buildings. And it depends -- it's very different from office building to office building. It depends very much on leadership of each tenant's situation. There are tenants that are back 100%. By the way, we are back 100% as Paramount, because we believe in the efficiency and building a culture and being in the office. And in San Francisco -- coming to San Francisco, we are more in the 15%-plus range, but also that is growing consistently. And I think the difference is, New York started with more positive news early on. I mentioned in my remarks that broad-base shows are open. I mean, if you go into the restaurants here, they are fully packed. We tried to arrange for meeting rooms in restaurants that are fully booked. Actually, there are certain places that do better business than before COVID. And it's really developing in a positive way. I think we would be further along if we didn't have the threat of the Delta variant. And I think that will go away. I mean both cities are at middle to high 80% vaccination rates. And I think that is a very, very good result. If you look at the world out there, that is really on the top end and I think that will increase the confidence of people in general being back in the public space.
Ronald Kamdem: Great. That’s all my questions. Thank you so much, Albert.
Albert Behler: You're welcome.
Operator: Thank you. Our next question comes from the line of Blaine Heck with Wells Fargo. Please proceed with your question.
Blaine Heck: Great. Thanks. Good morning out there. So, Peter, I think you just mentioned that financial services are making up around 40% of the velocity in Midtown. Do you have any color on whether that's driven by expansions and new entrants to the market? Or is it maybe more firms moving between spaces, upgrading in quality, potentially even downsizing? I guess, just a little bit more color on the drivers of that financial services velocity, would be really helpful.
Albert Behler: Blaine, let me start first and then Peter will chime in. It's really different from financial services provider from tenant-to-tenant. I would say the more medium sized companies are much more bullish, and we saw a couple of tenants that are really needing additional space and adding space. And the larger financial services companies might be a little slower than it's normal. These are bigger organizations. But when we talk to tenants -- and I mentioned it in my remarks, they like optionality and they like to be able to grow in the future if the business goes well. And some of them -- I mean, you might be alerting to Credit Agricole, they took less space than what they currently have. We don't know whether that's the end of it. They have indicated that this is the first step. And there are plenty of time between now and the expiration of their current lease and they see that the space available in that building. So, they take it step by step and keep the optionalities.
Peter Brindley: Yeah. And I would add to say, I think the financial service sector has leaders that have said we require that you're back in the office, it's impossible to create and innovate in a remote and a fully remote construct. And I think they've chosen to be opportunistic in this market where you can realize perhaps slightly elevated concessions and upgrade the quality of your real estate. And I think that's largely what has driven financial service tenants to get into the market. They do expect a lot by way of landlords and what we deliver, but they're choosing to raise the bar themselves and improve space in such a way that not only compels people to come back, but also enhances the overall experience. I think the underlying theme here is that all of the leaders in the financial services sector that we've seen out there, all acknowledge the importance of the office that they cannot realize their full potential remotely. And I think that's a theme that we've seen not only with financial services, but other tenants that we have transacted on. We've completed 45 deals this year. So, we've got a good insight into what these leaders are thinking, and that's fundamentally what's happening here is that more and more leaders are becoming increasingly vocal about their requirement that people return to the office such that they can realize their full potential.
Blaine Heck: Okay. Great. That's very helpful commentary. Maybe switching over to Wilbur. Can you talk about your appetite for share buybacks at this point? I think leverage is probably a little higher than you'd want. But assuming the lease up of your vacancies, the debt to EBITDA should migrate down at some point. Obviously, I think the economics are stronger for repurchases than new investments. So, how should we think about your ability to repurchase going forward and how you might fund any repurchases that you would contemplate?
Wilbur Paes: Sure. I mean, as we have done before Blaine, and as we have said before, as we would only share buybacks on a leverage neutral basis. As you are aware, we have already purchased $320 million worth of stock. We paused on that repurchase plan in the midst of COVID as visibility was less, and we had our largest tenant vacating the space. So, we went into defense mode to try to shore up the balance sheet. And as you point out, that loss in EBITDA caused leverage to tick higher.  So, this is a topic that we discuss every quarter with the board understanding where we are, understanding capital needs. We haven't gone ahead and deployed capital in any acquisition precisely as well for that reason -- is making sure we shore up the balance sheet today. And as we lease up the space and then we can go into playing some offense whether that means buying back shares or understanding what the opportunities in the market are and the capital allocation decisions based on implied return, whether it is through buying back your own portfolio versus enhancing shareholder returns through investing capital and external growth opportunities.
Blaine Heck: Got it. Thanks everyone.
Albert Behler: Thank you. Bye, Blaine.
Operator: Thank you. Our next question comes from the line of Jamie Feldman with Bank of America. Please proceed with your question.
Jamie Feldman: Great. Thank you. So, I guess, first, can you talk a little bit more about the drivers of your higher same-store NOI growth outlook?
Wilbur Paes: Sure. So, when we released guidance, Jamie, at the beginning of the year, obviously, we didn't have sufficient insight into some of the variable streams whether it's our theaters and what have you, where the Broadway was in fact going to open up in September as initially contemplated. So, part of it is driven by now some more certainty as Peter had executed renewals on these leases and reconstructed the nature of these leases. So, we're starting to see some percentage rent from our theaters that is going to drive some of that higher than what we originally announced. And a lot of it is also by better operating expense management. So, those are really the two primary drivers is -- in some cases, there were some early renewal, which in the beginning of the year that helped with cash NOI, because you have less free rent that's coming on in the third and fourth quarter. Some of it is theater and some of it is better operating expense management.
Jamie Feldman: Okay. That's very helpful. And then I think, Peter, you had mentioned market rents down 3% in New York and 8% in San Francisco. I assume that's space rent. Can you talk about net effective rents? And then, I guess even bigger picture, as you're negotiating with tenants today. Where is the leverage? Like are you able to pull back on TIs or free rent? Or just kind of where do things stand versus the last couple of quarters?
Peter Brindley: I would say concessions remain elevated. They're as high as they have ever been. We're contending with that. I would say, in New York, we have seen year-over-year decline in average asking rent of 3%. Net effective rent is probably closer to 5% to 10%, largely a function of concessions being elevated. But if you take a look at the base floors that we most recently transacted on with Credit Agricole and SVB, we realized rental rates that we would have expected pre-pandemic. So, we've been, I think, successful in maintaining the line on rents. And we have in select instances chosen to give slightly more by way of concessions than we have historically, but that I think is a function of the market as we all know.
Jamie Feldman: Okay. And then, you sound kind of optimistic on where market conditions are heading. I mean what's your appetite here for acquisitions?
Albert Behler: Well, Jamie, it's a very good question. We have -- I think nothing much has changed for us there. We are very, very careful in looking at acquisitions. We have the mezzanine fund business. We have the potential for joint venture investments. We will not spend a lot of our Paramount equity for the time being in new acquisitions. You also can see from the -- a couple of transactions that were happening in the Class A space that the price per square foot is pretty expensive. And despite what everybody was expecting that there would be a lot of opportunities after the pandemic, it's not happening. If you look at Europe, there's a lot of capital looking for a home, because there's plenty of liquidity in these markets, here in the U.S. it's pretty much the same. So, we are looking carefully at acquisitions. It has to really make sense. And as I mentioned, we know our equity is very, very, very expensive. So, we want to be careful there.
Jamie Feldman: Okay. And then just one housekeeping question. When you quote your percent leased, how does that treat the Credit Agricole space that's moving out in the future -- that they're moving from? Is that excluded from that number?
Wilbur Paes: No. That wouldn't make sense, Jamie. They are paying rent on that space than occupancy on that space. So, you would not include -- you would not exclude it -- much like everybody else in the business would not exclude it until they move out.
Jamie Feldman: Okay. So, are they included on the lease though, like the new space or, no?
Wilbur Paes: No. They are included in the new space, right? They've taken vacant space. They are there, in the lease percentage there and they are paying on the occupied space. So, as I said, it's no different than the way anybody else in the business would be treating an extension, a renewal with somebody else, somebody else moving within the building.
Jamie Feldman: Okay. So, I guess it will -- they'll come out of the stats when that lease actually expires before the first lease, is that the way to think about it?
Wilbur Paes: That's correct. In February 2023, when if they decide, they are going to vacate all of that space, then yes, it would come out at that point in time.
Jamie Feldman: Got it. Okay. All right. Thank you.
Albert Behler: But it also, Jamie, gives us an opportunity in the meantime to lease up the space, because we know that they are leaving at that point in time. So, it gives us optionality. And they're moving from mid to high tower space, which is very much in demand and taking some of the larger bottom floors in the building. So, we're quite excited about this.
Jamie Feldman: Right. No. I know you've got the opportunity. I just -- I was going through the numbers and I couldn't figure out why it was wrong. Now, it makes sense. Okay. I got it. Thank you.
Albert Behler: Sure. Bye-bye.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Steve Sakwa with Evercore ISI. Please proceed with your question.
Steve Sakwa: Thanks. Good morning. Two questions. I guess, Albert, you've talked about acquisitions being expensive. I'm just curious what your thoughts are on dispositions, either selling down future joint venture stakes or selling some buildings outright, and looking to capture that arbitrage between the public and private markets.
Albert Behler: We have said this and nothing has changed. At the right time, we are willing to take some chips off the table, especially for assets that have full value created. And we are looking at that, but very, very careful, because the asset base that we have is limited and these are Class A and trophy buildings. So, we don't want to be rushing into this. This momentum of assets being expensive and the market being more transaction focus has just started, I would say, a couple of months ago. So, that's the situation currently.
Wilbur Paes: And Steve, we consistently evaluate that. Obviously, there's tax considerations that we sit and go to the board and understanding the ability to retain that capital in an asset sale. We've done this in the midst of the pandemic, where we sold a 10% interest at 1633 Broadway, if you may recall that implied value at over $950 a foot. So, we are aware of this. We, obviously, go through it. But tax considerations do play into our decision, the ability to retain that capital and deploy it play into the decision. And so, it's discussed quite regularly.
Steve Sakwa: I guess without getting too specific, Wilbur, is there sort of a round figure that you think you could sell annually and still comply with kind of the tax and retention issues?
Albert Behler: It's very different from building-to-building, Steve. We have a couple of 1031 exchanges. So, it's really difficult to say in generality.
Wilbur Paes: Yeah. It is, Steve. I think what is interesting also is, obviously, we cut our dividend in the pandemic. And so, any potential leakage that you had that could otherwise shelter that now has made that exercise a little bit more challenging in times to retain. But as Albert said, depending on the basis of the asset, whether it's a 1031 previously, all those things factor in that analysis, if you will.
Steve Sakwa: Okay. Thanks. And maybe switching just back to a leasing question for Peter, for Albert. When you're talking to all these tenants and you're sort of doing these new deals, what is your sense of the space planning, space per person that whether it's an SVB or Credit Agricole or any other tenant? What is your sense of the space per person that they're setting up and allocating today versus kind of six to 12 months ago?
Peter Brindley: Steve, it really does. That rentable square footage per employee does vary from company to company, but what does not vary, quite frankly, is trying to create an exciting element inside the space that reflects who these companies are as a brand and will sort of make it a more interesting place for employees to return to. That is something that we have seen now with a number of tenants that have all said whether it's outdoor space or other things, how do we make this space really very exciting. And along with that comes the idea that there are more communal spaces to facilitate much of what we know to -- the reasons we know the office to be so important. So, we're seeing a lot of communal space being contemplated. We're seeing outdoor space being contemplated and we're marketing a lot of our spaces with these opportunities, and that's resonating. But as it relates to square footage attributable to each employee, I think that remains to be seen. I do think the densification trend was even letting up a bit. Pre-pandemic, that was a real headwind that we faced over the last decade. I think companies were more willing to attribute more space per employee to increase productivity. But I think as it relates to what we see on a go-forward basis in terms of how tenants improve their space, I think they will raise the bar. I think how it plays out remains to be seen, but I don't think we'll see any reduced square footage per employee.
Albert Behler: Yeah. And tenants like optionality, as I've mentioned before and in my remarks, they would like to -- and I mentioned it about C&I [ph]. They might need more space in the future, and they are focusing on having a landlord that focuses on safety, security, cleanliness, I think you see more and more a divergence between Class A and Class B operators and assets.
Steve Sakwa: Great. Thanks. That's it for me.
Albert Behler: You are welcome.
Operator: Thank you. [Operator Instructions] Thank you. Our next question comes from the line of Daniel Ismail with Green Street Advisors. Please proceed with your questions.
Daniel Ismail: Great. Thank you. Wilbur, I believe you mentioned earlier this year that the operating expense savings will likely carry into 2022. I'm just curious -- I guess, one part is, how much of that is related to tax savings, if any? And then two, what are you guys looking at in terms of utility costs in the future both for New York and San Francisco?
Wilbur Paes: Look, I -- thanks for the question, Danny. I mean, I'm not going to comment about 2022 yet. My comment on the operating expense savings was this year when the question was asked, what drove the beat this year in same-store relative to last year and from our guidance. To answer your question, I mean, the savings is coming from both an element of real estate taxes as well as operating expenses in general, that drove that. We are going through our planning for 2022 and our budgets and our guidance model for 2022, and we'll obviously talk about that when the time is right.
Daniel Ismail: Got it. And then, maybe just on the higher concessionary environment. I'm just curious how much higher commodity prices and higher construction prices are factoring into higher TIs? Or is it just still a moment in time phenomenon as tenants are looking for bigger concessions to reduce occupancy.
Peter Brindley: I don't think at this point yet the increased TI that we have experienced has anything -- has a whole lot to do with increased construction prices. In terms of what construction prices do on a go-forward basis remains to be seen, but I'm not so sure that they're directly correlated at this point.
Wilbur Paes: Yeah. We think this is more a phenomenon going on right now. And as every landlord in the market, they're just meeting the market to do what's necessary to get deals done.
Daniel Ismail: Got it. Thank you.
Operator: Thank you. Ladies and gentlemen, that concludes our question-and-answer session. I'll turn the floor back to Mr. Behler for any final comments.
Albert Behler: Thank you all for joining us today here. We very much look forward to providing an update on our continued progress when we report our fourth quarter and full year 2021 results next year. Goodbye.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.